Unidentified Company Representative: We’d now like to begin Sony Group Corporation’s Earnings Announcement. I’ll be serving as the MC. My name is Okada from Corporate Communications. First, Executive Deputy President and CFO, Mr. Totoki will present the consolidated results for FY 2021 and consolidated results forecast for FY 2022 followed by Q&A. We are scheduled to end in about 70 minutes. Mr. Totoki, the floor is yours.
Hiroki Totoki: Today, I will start by talking about the situation in Ukraine and Russia. At first, I want to express my deepest sympathies to the victims of the conflict. I hope that the conflict will be resolved as soon as possible and that peace will be restored. Our business scale in Ukraine and Russia was about 0.7% of consolidated sales in the fiscal year ended March 31, 2022 FY 2021. And although these regions have minimal impact on our financial performance, we are monitoring the impact of the situation on the global economy going forward. Now, we’ll discuss the following three topics, the consolidated results for FY 2021 and the consolidated results forecast for fiscal year ending March 31, 2023. FY’s consolidated sales increased 10% compared to the previous fiscal year to ¥9,921.5 billion and consolidated operating income increased ¥247.1 billion to ¥1,202.3 billion, both of which are record highs. Income before income taxes increased ¥119.5 billion to ¥1,117.5 billion and net income attributable to Sony Group Corporation’s shareholders was ¥882.2 billion, ¥147.4 billion decrease compared to the previous fiscal year in which ¥256.8 billion in reversals of valuation allowances against deferred tax assets were recorded seats. Please see Pages 4 to 10 of the materials – of presentation materials for each profit metrics adjusted to exclude one-time items. Consolidated operating cash flow excluding the financial services segment was ¥813.3 billion. The actual cash flow by segment is shown on the slide. This slide shows the results by segment for FY 2021. And next I will show the consolidated results forecast for FY 2022. As sales expected to be ¥11,400 billion and operating income expected to be ¥1,160 billion. Now this slide shows the factors leading you to the change in forecasted operating income compared to the actual operating income of the previous fiscal year. Consolidated operating cash flow excluding the financial services segment is expected to ¥1,050 billion. They assumed foreign currency exchange rates are ¥123 to the U.S. dollar and ¥135 to the Euro, ¥1 depreciation against the U.S. dollar is estimated to have an approximately ¥1 billion positive impact on operating income for the year and ¥1 depreciate against Euros is estimated to have an approximately ¥7 billion positive impact for the year. Our forecast is based on assumptions such as the projected growth rate of the global economy published by IMF in January and it’s incorporates as much as possible recent major risks such as the direct impact of the situation of Ukraine and Russia and the impact of COVID-19 in China. This slide shows a forecast by segment for FY 2022. I will now explain the situation in each of our business segments. Game and network services FY 2021 results at first is that – the FY 2021 sales increased 3% year-on-year to ¥2,739.8 billion. Operating income increased ¥4.4 billion year-on-year to ¥246.1 billion, primarily due to improvements in the profitability of PlayStation 5 hardware despite the impact of lower sales of non-first party software. FY 2022 sales expected to increase a significant 34% year-on-year to ¥3,660 billion due to an expected increase in sales in all categories. Operating income is expected to decrease ¥41.1 billion year-on-year to ¥305 billion. This forecast is based on the assumption that the acquisition of a Bungie, Inc., which is currently under review by the relevant authority will close in the third quarter ending December 31, 2022. Excluding the approximately ¥44 billion in expenses associated with acquisitions including Bungie operating income is estimated to be essentially flat year-on-year. In addition, we plan to increase software development expenses aimed at strengthening first party software at our existing studios by approximately ¥40 billion year-on-year and we have incorporated that impact into this forecast. Our unit sales forecast for PS5 hardware is 18 million units, a number based on our current visibility into parts procurement. In order to strengthen our content and development capabilities further, we entered into a definitive agreement this much to acquire Haven Entertainment Studios in addition to a acquisition of Bungie. Haven is a studio founded by Jade Raymond, one of the primary creators of the blockbuster Assassin’s Creed franchise. The studio has gathered many excellent developers in Montreal, Canada known as a Haven for game development and it is currently developing a new game title. In addition to acquiring studios such as Bungie and Haven in recent years we have significantly increased our investment in content development in our existing studios. As a result, our first party software revenue has grown at a high rate. Going forward we aim to grow the game business by strengthening our first party software and deploying that software on multiple platforms. Next is the music segment. Although sales of visual media platform decreased, fiscal 2021 sales increased a significant 19% year-on-year to ¥1,116.9 billion, mainly due to an increase in streaming revenue. Operating income increased ¥26.1 billion year-on-year ¥210.9 billion, mainly due to the impact of the increase in sales. The contribution to operating income from visual media and platform accounted for approximately 20% of the operating income of the segment for the fiscal year. Fiscal 2022 sales are expected to increase 11% year-on-year to ¥1,240 billion and operating income is expected to increase ¥19.1 billion year-on-year to ¥230 billion. In the fourth quarter ended March 31, 2022, streaming revenue increased 32% year-on-year in recorded music and 36% year-on-year in music publishing, continuing to contribute significantly to the growth of the segment. In recorded music, we are strengthening our ability to discover and nurture artists expanding a roaster and acquiring new labels, such as Alamo Records. As a result of these efforts, our ability to continuously create hits, has steadily increased, with having an average of 36 songs in Spotify’s weekly global top 100 songs in fiscal 2021. Moreover, new business opportunities with digital partners, such as TikTok, Meta and Roblox are steadily increasing and are expanding our base load of profitability. Next is the Pictures segment with box office revenue in the U.S. recovering to approximately 50% of pre-COVID-19 levels, the operating environment for this segment is starting to return to normal chiefly in Motion Pictures. In addition, mainly due to the historic blockbuster hit, Spider-Man: No Way Home, and significant licensing revenue from the popular television series, Seinfeld, FY’21 sales increased a significant 65% year-on-year to ¥1,238.9 trillion. Operating income increased a significant ¥137.5 year-on-year to ¥217.4 billion due to the impact of the increase in sales and recording of a ¥70 billion gain from the transfer of GS and games. Although motion pictures revenue is expected to decrease due to the lack of major releases, in par with the previous fiscal year, fiscal 2022 sales are expected to increase 7% to ¥1.330 trillion year-on-year, mainly due to the impact of exchange rates and expected increase in media networks revenue. Operating income is expected to decrease a significant ¥117.4 billion year-on-year, to ¥100 billion, mainly due to our not forecasting one-time items such as in the previous fiscal year. The focus for fiscal 2022 operating income margin for the segment is 7.5%, a decrease compared to the last two fiscal years, which benefitted from lower expenses resulting from fewer releases and then licensing of films to digital distribution services. However, when compared to before the COVID-19 pandemic, the profitability of the segment has steadily improved. In this segment we see the increase in demand for content chiefly from video distribution services as an opportunity and we are strengthening our content IP as a result. A pillar of our IP strategy is leveraging the Sony Pictures Universe of Marvel Characters and we are following up on Venom and more views with the production of another Spider-Man character spin-off called Kraven the Hunter. In addition, following the success of the first movie adaptation of the popular PlayStation game title Uncharted in Motion Pictures, we are leveraging our game IP by proceeding with the adaptation of Ghost of Tsushima and the Last of Us, into video content. In television production we are pursuing strategic investments such as the acquisition Industrial Media, which has a reputation for producing variety and documentary content such as the popular TV show, American Idol and the acquisition of Bad Wolf, a leading drama production studio in the UK. Next is the Electronics Products and Solutions segment. Fiscal 2021 sales increased 13% year-on-year to ¥2,339.2 trillion, mainly due to an increase in sales of TVs and digital cameras resulting from an improvement in product mix. Mainly due to the impact of the increase in sales, operating income increased ¥85.1 billion year-on-year to ¥212.9 billion. During the previous fiscal year, we faced various supply constraints, such as continued disruption of manufacturing and logistics resulting from the COVID-19 pandemic and a shortage of components, many semiconductors. However, we were able to overcome these issues mainly through close management of a supply chain and achieved operating income margin of over 9%. Fiscal 2022 sales are expected to increase 3% year-on-year to ¥2,4000 trillion, mainly due to the impact of exchange rates, despite a decrease in unit sales of TVs. Operating income is expected to decrease ¥32.9 billion to ¥180 billion. This forecast incorporates the total of an already observable impact and an estimated additional impact going forward of approximately ¥30 billion on our supply chain due to the spread of COVID-19 in China. Going forward, due to the continuous spread of infection, there is a possibility that the operation at factories in Shanghai and the surrounding region, as well as procurement of parts from the region will be constrained. This we currently expected will take approximately three months for the situation to normalize. With the situation in Ukraine and Russia and the slowdown of the global economy resulting from rapid inflation, we expect the demand environment this fiscal year to be even more severe than recent years. By quickly responding to the changes in the market, going forward and further enhancing our resilience to changes in the environment through digitization and streamlining of our operation, we will aim to maintain and improve our profitability. Now I’d like to explain the change in the name of this segment. We have been using visual, audio, communication and other technologies to deliver condo in the form of entertainment experiences to our customers in this segment for quite some time. Going forward, we will work with creators to create the entertainment of the future by providing technology that enables new visual and audio experiences, while also providing new services such as virtual production and sports entertainment. To further clarify the direction of these businesses, we have changed the name of this segment to Entertainment Technology & Services. The details of the change will be explained by Mr. Maki, the head of the segment at the business segment briefing to be held this month.
Kimio Maki: Next is the Imaging & Sensing Solutions segment. FY’21 sales increased 6% year-on-year to ¥1,076.4 trillion, primarily due to impact of exchange rates and sales increase of sensors for digital cameras and industrial equipment. Operating income increased ¥9.7 billion year-on-year ¥155.6 billion, primarily due to the impact of the sales increase. FY2022 sales expected to increase 37% year-on-year to ¥1.470 trillion and operating income is expected to increase ¥44.4 billion to ¥200 billion. During the previous fiscal year, we achieved a certain level of success expanding and diversifying our customer base and recovering our unit market share. But the business environment throughout the year was quite severe due to the segmentation of the smartphone market in China. Recently, however, we are seeing manufacturers refocusing on increasing the size, image quality and added value of the image sensors. They are purchasing from their – for their high-end smartphone scheduled for release in FY2022 and beyond. Thus, we expect the growth of the mobile image sensor market to accelerate again, going forward. There is also a movement to pursue better image quality, even in the midrange phones. And thus, we believe there is a room for us to further increase our market share due to the growth in sensors for mobile devices, stable growth in the market for sensors used in digital cameras and industrial applications and a significant market expansion for automotive sensors, we have updwarded – upwardly revised our forecast revenue CAGR for this segment over the course of the current midrange plan to approximately 20% per year. To respond to this more robust demand and to ensure that we can capture growth opportunities, we plan to increase capital expenditure during this mid-range plan from approximately ¥700 billion to approximately ¥900 billion, primarily due to the capital expenditure increase and an increase in the R&D expenditures to maintain, expand our technological competitiveness. The timeline for improving profitability have been slightly delayed from our initial plan, but we do expect that the profit will continue to grow along with the increase in sales over the medium term. Last is the Financial Services segment, FY2021 Financial Services revenue decreased 8% year-on-year to ¥1,533.8 billion primarily due to the decrease in the net gains on investments in the separate accounts at Sony Life Insurance, despite the impact of an increase in insurance premium revenue at Sony Life, operating income decreased ¥4.7 billion year-on-year to ¥150.1 billion, primarily due to one-time loss at a subsidiary of Sony Life related to the unauthorized withdrawal funds. New policy in force that Sony Life during the FY2021 grew 3% year-on-year, driven by our success in selling insurance to corporations. FY2022 Financial Services revenue is expected to increase 6% to ¥1,440 billion and operating income is expected to increase ¥69.9 billion to ¥220 billion. The operating income forecast includes the combined impact of approximately ¥43 billion from again on the real estate sales completed last month and the impact of the recovery of the funds associated with the unauthorized withdrawal about which we recorded a loss in the previous fiscal year both a Sony Life. Now I’d like to explain the progress of our fourth mid-range plan under the theme of Sony’s evolution. During this mid-range plan, we aim to evolve Sony into a company that achieves fast and high growth through investment and business expansions in growth markets and through further collaboration across our businesses. Sales are on a higher growth curve than originally expected driven by growth in our four priority investment areas, the G&SS music, pictures and I&SS segments. Operating income has also increased significantly compared to the previous plan. And we now expect it to exceed ¥1 trillion per year. Based on this, we expect the three-year cumulative total adjusted EBITDA, which is our consolidated group KPI to increase to ¥4.9 trillion up 14% compared to the target of ¥4.3 trillion. Now I’d like to update you on the progress of our capital allocation, the amount of consolidated operating cash flow generated during the three years of this mid-range plan. Excluding the Financial Services segment is expected to increase by ¥200 billion compared to the original plan to ¥3.3 trillion or more, mainly due to the operating income improvement. Added to this amount will be the carryover from the previous mid-range plan, borrowing and asset sales leaving a total of more than ¥4 trillion available to be allocated. Also how this amount will be allocated, I explained earlier that we will increase capital expenditures in the I&SS segment by approximately ¥200 billion thus, we have made no change to our plan to make strategic investment to ¥2 trillion or more, a total of approximately ¥1,060 billion of strategic investment have been executed or decided including ¥97.4 billion in repurchase of Sony stock and we believe our investment for long-term growth are progressing rapidly. Lastly, we have obtained another authorization to repurchase this maximum of ¥200 billion of Sony stock over the next year, these repurchases continue to be part of a strategic investments and will be implemented in a flexible manner. We believe that the external environment in FY2022 will be quite harsh with many risks and issues that we will have to address. And as CFO, I’m managing Sony with the highest sense of caution. At the same time, we will continue to take steps to achieve growth over the long-term while responding swiftly to changes in the environment. This concludes my remarks.
A - Unidentified Company Representative: That was the explanation by Mr. Totoki. From 4:25 PM, we will start the media Q&A, and for 4:50 PM, we will start the investors and analysts Q&A. Each Q&A session is scheduled to last for about 20 minutes. [Operator Instructions] Thank you for waiting. We now like to take questions from the media. Those who’ll be responding and will be Hiroki Totoki, Executive Deputy President, and CFO and Naomi Matsuoka, Corporate Planning and Control, Support for Finance Business and Entertainment Area, and Sadahiko Hayakawa, Senior Vice President in charge of Finance and IR. We now like to begin. Now, please limit yourself to two questions. [Operator Instructions] The first question of NHK [indiscernible] please.
Unidentified Analyst: [Indiscernible] from NHK. Can you hear me?
Hiroki Totoki: Yes.
Unidentified Analyst: My first question about the yen depreciation earlier and the FY2021 results, it seems that the depreciation of the yen has benefited you. Meanwhile, the raw material price is increasing and the weak yen negative impact is being talked about. For your company, what are the negatives of the depreciation of the yen? And also what measures do you have this year to cope with the depreciation of the yen? My second question, earlier, you talked about the COVID-19 in China and taking about three months for recovery and normalize. Rather than that, there are the shortage of a semiconductors, as well as other shortages. So looking at the business going forward for this fiscal year, where do you think the biggest challenges exist? And what measures are you contemplating?
Hiroki Totoki: Thank you for your question. And let me talk first about the exchange rate and then after Hayakawa will add some more explanation. First about the exchange rate. Well, if I talk about each of the segments about games and network service and the EP&S and I&SS for these segments, and we estimate ¥1 depreciation would be a €1 billion positive of ¥7 billion positive for our operating income. Now for each business segmented, there are different characteristics and therefore Hayakawa will add some more explanation. I’d like to explain about different business segments. So well, our G&NS and ET&S, for the raw materials we are purchasing in mostly in U.S. dollars and therefore the raw material prices rise, and also the adjustments we have to do in adding on to the prices, and this will undermined our profit structure. Meanwhile, the – those are, which are yen denominated and I&SS, we think that – this will be a positive for us about music and pictures. Well, basically, the business is being consolidated in U.S. dollar and converted to Japanese yen. And this – for the depreciation of the yen will be positive for our sales and operating income. And that is about the U.S. dollar. And next about Europe. For Europe we – the cost that is generated in Euro is limited in our business and therefore Euro and yen. The yen depreciation is a positive for our profit. That is all. Thank you.
Unidentified Analyst: Thank you very much. Basically the exchange rate fluctuation, we have the tolerance and to cope with these fluctuations and we have DX of operation improved efficiency and margin of the businesses are being increased to cope with these fluctuations and we will continue to do so we’re going forward.
Hiroki Totoki: And about your second question in China and the impact of COVID-19, for this fiscal year, there are a variety of risks as you know. About the parts procurement, we think that to quite an extent, well, last fiscal year, the second – compared to the second half, I think in different areas, for example, we have changed our source of procurement and also changed our design amongst others. So we have been capable of coping. So for the parts procurement, I think we have a good outlook. Meanwhile, the spread of the virus in China, well, how long this will continue and to what extent, it will continue and spread. This is something that is very difficult to predict. At this point in time, we think that it will take about three months, especially for the Shanghai lockdown. It will take about three months to normalize. That is what we’re thinking right now, but we should not be complacent and look at logistics and procurement and try to detect those risks early on. So as to be able to cope with them, we want to be active in coping with these risks. Thank you.
Unidentified Company Representative: We’ll take the next question from Nikkei Newspaper [indiscernible] please.
Unidentified Analyst: My name is [indiscernible] Nikkei Newspaper. Can you hear me?
Hiroki Totoki: Yes, we can clearly hear you.
Unidentified Analyst: Thank you. Two questions. First, in the game business about your outlook for this fiscal year against the assumptions, you may have the upsides or and also at the same time, downside risks, so upside and downside both. So if you could mention on both sides, I would appreciate it.
Hiroki Totoki: Well, you have only one question. Please proceed to the second question.
Unidentified Analyst: My second question and the MRPs amendment to revision. EBITDA, cumulative EBITDA, I think there was this number 54% or so. Well, if you could give me the breakdown of the increase, I would appreciate it. And about your strategic investment, if you could give us your philosophy in the strategic investment, I would appreciate it.
Hiroki Totoki: Thank you. About G&NS outlook or forecast, let me start with that. About our assumptions at this moment, the risks and upsides are both factored in to come up with the best estimation. If there’s one upside, how much sales can we expect about our hits software, titles and the number of hits. These are the variables, and we expect highly on these two. As we announced already PS Plus included, network services are to be renewed after June. There will be gradual releases stage by stage. And for this, we want the users to enjoy this and find them higher quality and easier to use or play and that should be our upside. And about the risks or downside, needless to say, and it’s not only restricted to game business, at this moment, 18 million units is the focus for this fiscal year. For components, we do have a good feel about how to procure the components and parts, but going forward, for example, the situation of the pandemic in China, if it worsens going forward and if the lockdowns will expand further, then that will have a possibility of affecting the protection and that can be a downside risk. However, this will not happen overnight. So for us, we need to be proactive, have a focus and take appropriate measures. Now about your second question, about MRP. Now concerning EBITDA and there’s the change or revision of EBITDA forecast. About this forecast, including the supplementary documents of the financial results and others, all the datas are available for you to see. Basically, the base load of profitability has been enhanced. Now we are expecting 14% growth now, and using this, we can make this for the – to be allocated to the ¥2 trillion strategic investment, if there are good opportunities. But at this moment, we look at the market environment. Now at this moment, we can leave this fund as it is and if necessary, we will review the situation and then we’ll make an announcement accordingly. Thank you.
Unidentified Company Representative: Next – let’s move on to the next questions. Nishida-san, freelancer, please.
Unidentified Analyst: This is Nishida-san speaking. Can you hear me?
Hiroki Totoki: Yes, we can, please.
Unidentified Analyst: I also have two questions. The first about the game business PlayStation 5’s procurement is pretty much in place and the shortage of components you’re expecting that will be resolved and 18 billion units – 18 million units is that enough to the demand compared with the demand. And the semiconductors sensors, high end sensors are expected to sell and leading to the increase in sales. Now, without depending on the Chinese market overall product mix is improved that’s improvement, or you are largely relying on the Chinese market for this improvement, if you could educate us.
Hiroki Totoki: Thank you for your questions. To your questions you asked us first question regarding the PS5 related procurement. Maybe it’s more of a demand side is question. 18 million units is what we feel very comfortable that we can get the parts and components, and we feel that there was a little bit higher demand than that. And so whether, if the question is whether we can meet the demand, I think was still short somewhat. And regarding our stock or inventory, still remain very low. So in order to provide our PlayStation units to customers smoothly on timely basis, in that sense we are still behind or short. And regarding INSS, the sensors, as I mentioned in my earlier stage there is an increase in the size and higher added value in the market. That’s a trend regardless of the regions and the large smartphone set manufacturers are going through that trend. And it is becoming very visible and that’s what we feel through discussion with our customers on communicating with customers. And we want to make sure to respond to that demand that way we can increase the sales. And also if we talk about the Chinese market, that we are still cautious and we do have slow movement and also the stock level – inventory level low in China. And we hope by the end of this year it will memorize.
Unidentified Company Representative: Next question, please. Asahi Shimbun, ask the question please.
Unidentified Analyst: Can you hear me?
Hiroki Totoki: Yes, please.
Unidentified Analyst: I have two questions both about PS5. In 2022 for this fiscal year, you said that the unit sales target, you said 22.6 million, I think it was to exceed PS5. But you say 18 million. So why did you have to reduce the number? And second in earlier you said FY2021, the PS5 result. Can you explain about the PS5 result for FY2021?
Hiroki Totoki: So first question about the fact that we originally were talking about 22.6 million that was more than PS5, and this was reduced because of the constraint of components. And when it comes to procurement of components and we have not given up on this, we would like to continue to work on this. But at this point in time, what we can say safely is that we can achieve the necessary components for 18 million units. And so that is the reason for this change in the number. And also about FY2021, the actual result did you say?
Unidentified Analyst: The actual unit sales – FY2021 unit sales number?
Hiroki Totoki: Yes, we have presented that PS5, 11.5 million units. Have I answered your question? So that is the actual unit sales for FY2021. Yes. Thank you.
Unidentified Company Representative: Now time is running out on us. So the next person will be the last one to ask questions from Toyo Kasei, Sasaki-san please.
Unidentified Analyst: Do you hear me?
Hiroki Totoki: Yes. Yes.
Unidentified Analyst: My name is Sasaki from Toyo Kasei. Thank you for giving this opportunity. Two questions. You stopped the disclosure – individual the disclosure of the smartphones compared to the previous year the sales is increasing, but what about profitability if you could disclose that? I would appreciate it. Second, the plan to increase both sales and earnings of the semiconductors, where you are talking about the larger size and higher added-value, but what would be the percentage of the contribution to the profit for each – from each?
Hiroki Totoki: Well, I couldn’t hear, I’m sorry, your second question. Could you repeat again?
Unidentified Analyst: Can you hear me?
Hiroki Totoki: Yes, please go ahead.
Unidentified Analyst: About the image sensor, the plan to increase both revenue and sales and the earnings in terms of volume and price. I would like to you to explain the contribution of each.
Hiroki Totoki: I see, about the smartphones, well, we don’t disclose individually, but in a qualitative way, I can say that the profitability improvement, the level of fixed cost has declined by large margin and the merchandise appeal improved. So profitability improved, so it can contribute to the stable sales increase. That’s the structure we have already established. And then the image sensors both – increase both in terms of the sales and the earnings of the image sensor, in terms of the market share compared to this fiscal year, there will be seems to be a slight decrease in the market share. Now, the larger size and higher value added will be the direction. So the unit price will drastically increase and that can push up or drive the sales. Thank you.
Unidentified Analyst: Thank you.
Unidentified Company Representative: Okay. It is time and we’d like to conclude the Q&A session for media people. And we will start the Q&A session for investors at 4:50 or 16:50. [Breakout Session]
Unidentified Company Representative: We are starting the investor analyst Q&A shortly. We ask we are indulgence. Thank you for waiting and now we would like to start the investor, analyst Q&A session. I will be serving as the MSC, [ph] I’m from the Finance Group, IR Group. My name is Shinichi, Sosei Group Corporation. At the beginning, the moderator is now correcting a mistake in the Japanese version of the CFO speech. Please wait a moment. Please note that there was no mistake in the English script. And now we’d like to take questions and those will be responding is Executive Deputy President and CFO, Hiroki Totoki; and a Senior Vice President in charge of Corporate Planning and Control, Support, Finance and Business, Entertainment Area, Naomi Matsuoka; and Senior Vice President in charge off Finance and IR, Sadahiko Hayakawa. And ask for how to ask questions and the points to be noted. Please refer to the information we have provided to you early on. And now we’d like to proceed to the Q&A. Those who have questions, please limit yourself to two questions. [Operator Instructions]
Unidentified Company Representative: Now first the Morgan Stanley MUFG Securities, we have Ono Masahiro [ph]. This is Ono speaking of Morgan Stanley.
Unidentified Analyst: And can you hear me?
Hiroki Totoki: Yes, we can, please go ahead.
Unidentified Analyst: The first I have a question regarding games and another question on the imaging sensors. And first about the forecast for game sales this year. Bungie cost will be ¥44 billion and software development also ¥40 billion. Those are the expected expenditures and ¥44 billion for Bungie expenditure. It will be that’s quite a large amount of investment this year. And how much do you plan on continuing to invest in Bungie from next year. And also the effect of the software development expenditure you’ll be spending more R&D cost this year compared with the next year and further down or do you plan to make similar level of investment? Second point is about the image sensing and Chinese smartphone cells have been stagnating, especially in high end segment, more in comparison to the expectation. Now the same sensors usually have five months lead time, so you should have inventory built up and it will have an impact on your revenue. That will be my first hunch, if you could expand on how you incorporate these factors into your forecast?
Hiroki Totoki: Okay. First for game and network services first, and not just for Bungie but we have posted a ¥44 billion for acquisitions and large portions will be used for Bungie acquisition. And in this fiscal year, we have this forecast, but this forecast itself is assuming that the – we will complete this acquisition in the third quarter of this year. In the fiscal year 2023, we have to have expenditure – expenses for the whole year. And so we will expect the 50% more expenses next year for Bungie. And we said, we will increase the R&D cost for software titles, but the game titles – but looking at the current market trend and our capabilities, we feel by investing into R&D and that’s create the upside factors for the future. And I think that’s the healthy investment, strategic investment, which we want to execute. It will cost us, but together with that, we can expect the growth in sales. At least we hope, so next year this added investment would not reduce the operating income directly. And next about I&SS, the Chinese smartphone market and the demand our forecast of the Chinese market right now, there is a inventory in the supply chain and so there is slightly slow in Chinese market, and we hope that the – in the second half of 2022, FY 2022 will return to normal conditions. And for general purpose products number of customers can use them. So a little bit higher inventory is that’s acceptable to us and to cope with the changes in the demand. And also at the same time, respond to the higher demand in the market. We want to have healthy stock and consider the good timing for capital expenditures and that’s our thought. Thank you.
Unidentified Company Representative: Thank you. And next question, Mizuho Securities. Mr. Nakane, please. Mizuho, Nakana can you hear me?
Yasuo Nakane: Thank you. Again two questions. First, I&SS sales, Totoki-san earlier said the unit volume will be slight increase and the price will increase more significantly. As for the price increase it will be higher value added, and also the logic procurement cost will increase. I think there are two pieces, two factors. So can you give me the breakdown of the two? And second, how much of this cost increase are you going to add onto the sales price. For example, you can – I will be able to maintain the margin – gross margin that’s the first question? And about the second question about inventory. Page 7 of the handout I&SS you think, I see that the inventory is high in G&NS two and there’s COVID-19 and also the logistics and semiconductor. There are a number of factors and I&SS aside from the – I think and the cost increases also included here in addition to the strategy. So can you talk about this and towards September what is the inventory level that you are assuming at this point in time in your budget? Well, then first about I&SS. The unit price, well is it because of the higher value added or the larger size or increase in logic price? So, me want another breakdown? Well either or I guess you’re asking but in regards to this basically the larger size and higher value added. This has a bigger impact, we think. And about the logic, procurement cost, the increase and the device increase and how the – how much of this can be added to the product price?
Hiroki Totoki: Well, it depends on the transaction, the deal, and therefore I cannot give you the details I’m afraid. But basically we think that we will be securing a proper margin. And for this we have to add-on to our sales price. But the shortage of devices, we have to look at both the market and customer, and I think that and the customers understand the situation, and it’s not the case that they will not listen. I think that describes the current status. And about ET&S, about the shortage of materials. Yes, we have put in place the necessary measures. And about logistics the lead time it’s long, and therefore this will have an impact on the inventory level. We think that the fiscal year that’s ended, the inventory level was high, but this was intentional and therefore for ET&S the inventory level and we did not have any significant concern at this point in time. And as for in I&SS well naturally our capacity needs to be efficiently and effectively used, so we have to run at full capacity, that’s what we’re doing right now. And for this fiscal year this is intended to meet the demand and also the capital investment, and also the starting of the equipment. This is also being taken into consideration, and that is the reason why we intentionally increase the inventory, about September inventory level. I don’t think that there will be any major change at the end of the fiscal year – towards the end of the fiscal year. Well it might not change that much, and we will – we already discussing the FY 2023 demand and with that in mind if we want to have the appropriate inventory to satisfy that. So we want to control the inventory properly with these things in mind. And I think I’ve answered all the questions. I hope is all right. Can you hear me? I cannot hear you. Is it alright?
Unidentified Company Representative: We’ll proceed to the next question from SMBC Nikko Securities, Katsura-san, please.
Hiroki Totoki: Thank you very much, Katsura. Can you hear me?
Ryosuke Katsura: Yes. G&NS and I&SS for these two I’ve questions about G&NS. On Page 9 of the supplementary documents, PS+ subscribers; basically it has shown some decline going forward what’s your take on this and what is your plan? There will be a renewal of PS+ in June. On this renewal how did you take into consideration the past trend? If you could give me some idea, I would appreciate it? Second, I&SS, well you talked about the full capacity utilization, as usual, capacity and the number of wafers if you could give me an idea?
Hiroki Totoki: On Page 21 there’s the CapEx number ¥370 billion for this fiscal year? Well, I guess ¥900 billion, next fiscal year, the CapEx is going to decline and this year will be the peak in my view, And to excluding the joint venture deal from this numbers. Oh, I mean, joint venture of TSMC, The Game Network and Services first, now PS Plus subscribers, before going into the discussion of that, let me give you an overall trend for us. The total game play time is so important. Earlier there has been a decline, but the stay home demand was not so strong from January to February in 2021, compared to that, there’s an increase by 8% quite recently, compared to January and in February 2022. And compared to the end of March in 2020, there’s an increase by ¥5.9 million. So the stay-at-home demand was a temporary factor, but after it has subsided, it seems to me that the high level of engagement is maintained. So on a midterm basis; I don’t see much concern on PS Plus. So I am sure that the high level of engagement will continue. That’s a positive take, that I have about the renewal, we will start the renewal from June onward in a stage manner and we would like it to be stably grow and be supported by users. So I would like you to have a great expectations on this together with me. Now, I&SS capacity and the number of input wafers, number of wafers FY 2021, at the end of fourth quarter 122K that’s the rough estimate. That’s the capacity with the change of model product mix and the facility maintenance causes some interruptions as of the end of the first quarter in 2022, 130K will be achieved as originally scheduled. The number of wafers in FY 2021 on the fourth quarter, actual the three months average, simple average is 121K and there was this great earthquake in January, and there’s a Miyagi earthquake in March and excluding that the flood. And then three months average, simple average of this fiscal year is 126K with these assumptions. What about the investment for fiscal 2023? There will be a slight decrease, but it still; there will be a high level to be maintained, but the joint venture with TSMC. Well, this is separate from the investment in – with TSMC. Thank you.
Unidentified Company Representative: We are running short of time. So the next person will be the last person asking questions. We like to have Okazaki [ph] of Nomura Securities.
Unidentified Analyst: Thank you. This is Okazaki speaking of Nomura Securities. I also have question, one each at the games and semiconductor. First of all games that the renewal of a PlayStation, the content will be incorporated into the fleet and that’s, what the competitors is doing. And in strengthening your content, would that be an option for you in the future, as for imaging, the sales are expected to grow substantially, imaging sensor will grow but how about the other segments within that?
Hiroki Totoki: I see they’re expected to grow if you could share with us, what are some other growth element? And first regarding the Game & Network service, the – I do, I will refrain from making comments on the competitor’s strategy and our current thinking is to have a development cost, a proper R&D investment for quality products, and that will improve the platform and also improve the business in the long run. And AAA type titles for games PlayStation 5. If we distribute that on the subscription services and the, we may need to shrink the investment needed for that, and that will deteriorate the first party title quality and that’s our concern. So we want to make sure that the, we spend a profit development cost to have a solid products with solid titles to be introduced in the right manner. And in terms of renewal Eternal and Spider-Man, and the first party popular titles, we will be providing those titles for the new platform. And so we want to have overall good balance in growing our business further. And as for the FY 2022 sales for I&SS, what are driving factors and mobile sensor is the driving factor and laser and other products are experiencing sales growth, but in terms of the magnitude of sales growth and that comes largely from mobile sensors. That’s all.
Unidentified Company Representative: Okay, that finishes our allocated time for the today’s earnings announcement of Sony Group Corporation. We thank you for your attending this session. Thank you.